Operator: Hello, everyone, and welcome to the Lesaka Technologies webcast and conference call for the third quarter of fiscal 2024. As a reminder, the webcast is being recorded and the presentation can be accessed through the webcast link as well as dialing into the Zoom conference dial-in numbers provided. Management will address any questions you may have at the end of this presentation. For those joining us via the webcast, you can ask your questions live by raising your hand at Zoom. For joining via the Zoom teleconference line, you cannot ask your questions live. The webcast link, Zoom conference call dial-in numbers as well as our press release and supplementary investor presentation are available on our Investor Relations website at ir.lesakatech.com. Additionally, Lesaka filed its Form 10-Q after the U.S. market closed yesterday, which is available on our Investor Relations website. During this call, we will be making forward-looking statements and I ask you to look at the cautionary language contained in our Form 10-Q regarding the risks and uncertainties associated with forward-looking statements. Also, as a domestic filer in the United States, we report results in U.S. dollars under U.S. GAAP. However, it is important to note that our operational currency is the South African rand, and as such we analyze our performance in the South African rand. In this presentation, we will discuss our results in South African rand, which is non-GAAP. This assist investors' understanding of the underlying trends in our business. As you know, the company's results can be significantly affected by the currency fluctuation between the dollar and the rand. Taking a quick look at today's agenda, Ali Mazanderani, Chairman of Lesaka, will give an update of the key developments and progress on strategic objectives. Steve Heilbron, Head of the Merchant Division and Corporate Development, will provide an update on the merchant division, followed by Lincoln Mali, CEO of Lesaka Southern Africa, who will take us through the consumer division performance this quarter. Naeem Kola, Group CFO, will present a detailed overview of our financial performance for the 3 months ended March 31, 2024, and update you on the Q4 and full year guidance. With all that said, I'd now like to turn the call over to Ali.
Ali Mazanderani : Good morning and good afternoon, and welcome to the third quarter 2024 earnings webcast and conference call. Today, we report another quarter of growth and improvement in financial performance. Lesaka is not recognizable from 2 years ago when we announced the closing of the Connect acquisition and introduced our consumer turnaround plans. Our 9-month year-to-date revenue of ZAR 7.8 billion is up 14% year-on-year in constant currency terms, and our EBITDA of ZAR 501 million is up 69% in constant currency terms. In the last quarter, we have achieved revenue of ZAR 2.6 billion and EBITDA of ZAR 183 million. We have reduced our net debt to Group adjusted EBITDA to 2.6x this quarter from 4.2x in Q3 2023, and we now have two successive quarters of positive fundamental earnings per share. We have consistently delivered on the expectation set and indeed exceeded our EBITDA guidance for the period and revised upwards that guidance for the full financial year. With the signing and announcement of the Adumo transaction yesterday, which remains subject to shareholder votes and regulatory approvals, we anticipate continuing to consolidate the market and cement our position as the leading independent fintech platform in Southern Africa. Our primary market is currently South Africa with its 62 million population and $381 billion economy. But with Adumo, we augment our presence in Namibia, Botswana, and Zambia and expand into Kenya. Together, this represents a 140 million population addressable market, larger than that of Mexico or Japan. Post completion, Lesaka will be a company with over 3,300 employees across these 5 countries. We'll be processing more than ZAR 40 billion in card, ZAR 100 billion in VAS and ZAR 110 billion in cash throughput. We will have over 1.7 million active consumers, 89,000 micro merchants or informal traders, as they have previously been referred to, and 29,000 traditional merchants along with 100 enterprise clients. We have developed a rich and broad product suite that provides us with a distinctive competitive advantage in serving each of these customer segments. Indeed, it is through the lens of building out of the customer value proposition that we will be representing the business going forward. We see the business as having 4 broad customer types: Consumers, micro merchants, merchants, and enterprise clients. The business leadership will be organized around those verticals, and it is through the lens of the unit economics of those customers that we will guide our capital allocation decisions. Each vertical operates different brands with their own value proposition, although there is overlap and mutually reinforcing dynamics. We are unique in the market in addressing this range of customers, and that position will allow us to take advantage of economies of scale and deliver not just best-in-class product, but also value through the flywheel of our platform and interconnected product offering. The economic environment in Southern Africa remains a challenge, and we do not anticipate any major change in the economic outlook. However, Lesaka is not an index on the economy, and we are not bound by national economic growth forecasts. We are an index on disruption, inefficiency is our competitor, and inefficiency is rife in our markets. With most service providers targeting narrow segments with monoline products, we have underserviced merchants and consumers, pouring legacy provision to corporates and expensive and unreliable transaction processing in the country. Through innovation, we will continue to pioneer and deliver growth in both revenue and profitability. It is exciting times for Lesaka. I'll now hand over to Steve, who will talk to the merchant segment.
Steven Heilbron : Thank you, Ali. Our portfolio covers products and services increasing consumer convenience and purchases in our merchant stores as well as physical and fintech solutions to assist our merchants reduce cash risks and improve working capital and business efficiencies. This comprehensive solution helps us understand our merchants' businesses and cash flows better, which in turn helps us drive an improved value proposition, solving for our merchants' pain points as they grow and compete. This is the source of our competitive advantage. Our merchants use our Kazang devices to sell a range of value-added services to their customers, including data, airtime, gaming, and electricity. They can also use these devices for our supplier payments platform, allowing them to make electronic payments to approximately 700 active suppliers, greatly reducing both their and their suppliers' cash risks. We ended the third quarter with over 80,250 devices deployed in the micro-merchant market, representing a 12% year-on-year growth rate. Core to our device placement strategy is the decision to focus on quality business by retaining high volume and profitable clients and optimizing our existing fleet, which is reflected in a healthy throughput and margin per device. At a throughput level, excluding international money transfers, we experienced a 36% year-on-year growth rate. We saw pleasing growth in our traditional VAS products of electricity, airtime, and gaming and strong growth driven by our continued momentum in the uptake of our supplier payments platform by micro merchants. As we continue to populate our supplier platform, we should see these volumes continue to outperform. Whilst a lower-margin product, it's a key value add to our merchants and their suppliers as it significantly reduces their cash risks. Further, it drives our Kazang Vaults cash business as merchants use their cash to top-up their wallets to pay their suppliers. We are now processing over ZAR 2 billion per quarter on our supplier payment platform. Supplier payment throughput volumes increased approximately 100% in the third quarter compared to a year ago and now accounts for approximately 35% of our VAS throughput volumes compared to approximately 25% a year ago. As mentioned last quarter, we've seen a significant change in product mix with international money transfers reducing due to a change in the regulatory environment, which affected the industry and can be clearly seen in this graph. This is a very low-margin product for us, limiting the impact on profitability. Our card acquiring business is operated through Kazang Pay in the micro merchant market and through Card Connect in the merchant market. Our installed card-enabled devices increased by 20% year-on-year to over 50,200, primarily driven by Kazang Pay and demonstrates the continued adoption of card payments in the informal economy. Kazang Pay accounts for the majority of card acquiring throughput, which grew 22% year-on-year to ZAR 3.9 billion for the quarter, implying an improved average revenue per device as our cleanup of the installed base addressed in the last 2 results takes effect. These growth rates are excellent and should be seen in the context of the economic challenges that our merchants and their customers are facing. Our digital cash management offerings, Cash Connect and Kazang Vaults, effectively puts the bank in approximately 4,455 merchant stores. This cash digitization business saw a 3% year-on-year increase in throughput with a number of cash vaults increasing by 2%. This business is primarily exposed to the mid-market SME sector, which has experienced challenges over the past 24 months. Our research shows that power outages have been the single biggest challenge for the retail sector. Significant numbers of retailers see high price inflation, a slowdown in consumer spending and rand-dollar volatility as major challenges for their businesses. This impacts the merchants we serve in this sector, resulting in increased bankruptcy and hence, vault upliftments, which affected the net growth in the vault estate. Our Kazang Vaults business servicing micro merchants, continues to see good growth in throughput, and we anticipate this momentum to continue. We believe we can make a real difference in our micro merchants operations as we build Kazang merchant communities, enhance risk management and facilitate immediate cash availability for working capital. Our cash business remains a vital product in our merchant offering and is a key differentiator for us in the digitization of cash. Whilst there is a trend towards digital payments, cash remains as the most significant portion of retail transactions, especially in the informal markets. Having a holistic offering through which we can deepen our customer relationship is key to our strategy. Over the past 2 years, our credit business has been impacted by higher interest rates and a challenging economic environment. There is demand for our credit product from our merchants and our credit proposition is an important component in enabling our merchants who we serve to compete and grow. Quick access to affordable and flexible opportunity capital is vital in every stage of a retailer's life cycle, enabling them to never miss an opportunity. Many merchants find that traditional vendors are reluctant to approve loans for business growth and that the underwriting process takes so long that the opportunity is often gone by the time a retail loan is approved. As a fintech lender, we are addressing this gap by offering fast access to capital. Our connected app and leading data-driven fintech platform enables our retail merchants to access capital and expect funds in their bank accounts within 24 hours. The tough economic environment has resulted in many more of our merchants not meeting our predetermined credit criteria during this period. While this has led to marginal growth since 2022, it has protected us from credit losses with our book performing better than expected. We are cautiously optimistic that we may see a resumption in credit growth later this year. This is supported by the fact that the Capital Connect business disbursed ZAR 219 million during this quarter compared to ZAR 194 million in the comparable period last year, representing a 13% increase. In both these offerings, cash and capital, we are innovating at a product level with exciting solutions planned and aimed at solving for our merchants' pain points. Our EasyPay enterprise market solution, which offers VAS, switching and bill payments through our retail partners experienced pressure over 2022 and 2023. We see this platform to be strategically important and continue to enhance our technology and management structures. With over 600 billers on the platform embedded into all major retail systems, EasyPay has an extensive footprint that would be very difficult to replicate. The performance of this business has improved and is contributing to our Merchant segment adjusted EBITDA. We saw a 6% year-on-year improvement in throughput overall and throughput from bill payments, the more profitable component of our enterprise offering increasing 13% year-on-year. In this slide, we show the progression of the Merchant division revenue for the past 2 years. We delivered an 8% year-on-year revenue growth, which is impacted by the mix of airtime products sold in the quarter, which Naeem will explain in more detail, and the change in product mix with international money transfers reducing due to a change in the regulatory environment. On PIN-less airtime and data bundles, where we act in an agent capacity, only the commission earned is reported as revenue, whereas for PIN-based airtime, where we act as a principal, we recognize the total face value as revenue. At a gross profit level, we saw double-digit growth year-on-year from airtime products sold. As mentioned previously, international money transfers is a very low-margin product for us, limiting the impact on profitability. Also note that quarter 2 is our strongest quarter due to seasonality. It includes the December holiday period where trading activity is higher than in other months. Merchant adjusted EBITDA increased 7% year-on-year to ZAR 159 million. The year-on-year growth is impacted by the prior year base effect. The prior year Q3 2023 included ZAR 6 million of EBITDA, which related to hardware sales in our NUETS business compared to ZAR 1 million this quarter. This business is dependent on client CapEx cycles. In addition, FY '23 Q3 included ZAR 6 million of EBITDA related to Kazang Pay Advance, our credit offering to micro merchants, which remains under development with our aim to relaunch in fiscal '25. Excluding the impact of NUETS and Kazang Pay Advance, year-on-year merchant adjusted EBITDA growth is 16%. We are pleased with the continued momentum in our Merchant division, delivering growth in revenue and profitability. The Kazang brand is increasingly recognized and respected across the Southern African economy and was awarded the most disruptive Fintech in shaping the informal economy at the Absa Commercial Payments Summit in April 2024. Last quarter, I spoke about our Touchsides acquisition from Heineken, which closed on the 30th of April 2024. Touchsides is a leading data insights business with a dominant presence in the licensed tavern vertical. This is an important merchant segment targeted for growth and is highly complementary to Kazang. To date, the integration plan and work between Touchsides and our merchant division has been extremely encouraging. Earlier this week, we announced the Adumo acquisition, which is subject to shareholder and regulatory approval. This will significantly bolster our merchant offering. This acquisition deepens our market penetration and broadens our product offering in the Merchant division. We are very excited by the opportunity that lies ahead of us as we leverage our fintech platform to innovate and disrupt in the pursuit of serving our targeted customer segments. The acquisition of Touchsides and the announced definitive agreement to acquire Adumo are significant milestones for Lesaka as we build the leading fintech platform in Southern Africa. The augmentation of these product offerings allows for material cross-sell opportunities and further efficiencies in our payments ecosystem. I would now like to hand over to Lincoln, CEO, Southern Africa, to discuss the performance of the Consumer division.
Lincoln Mali : Good morning and afternoon, everyone. Thank you, Steve. It's been another successful quarter for the Consumer division as we continue to build on and benefit from the hard work during our restructuring and realignment as a customer and sales focused organization. We saw gross EPE account activations of 63,000, significantly improved from 38,000 last year. We have seen a period of relative stability in the SA Post Office, which has reduced the number of grant beneficiaries switching to alternative financial institutions. After accounting for churn, which was fairly stable during the quarter, we had 28,000 new account activations. Natural churn is effecter of the grant space as child support grant seize when a child turns 18 and as mortality impacts old age grants. We estimate the net impact to be approximately 10% to 12% per annum. Our onboarding processes and activation rates are continual focus areas for our teams as we build our EPE account base and deliver additional financial services to them. We've seen very, very encouraging results from our digital channel this quarter. We have a USSD and a voice branch or call center, which are becoming more meaningful contributors in our distribution network. Our voice branch averages 12,500 calls per month and is currently responsible for over 4,000 loan initiations per month with a record in March. Our USSD channel is delivering excellent results, processing 43,000 successful lending applications in quarter 3, record electricity and airtime sales in March, over 735,000 dials from 155,000 customers. Our [indiscernible] shows that on average our account holders can spend between ZAR 100 and ZAR 200 in transport and related costs during a loan application, which is material considering the size of the loans. Interacting through our voice branch and USSD channels avoid this expense for our customers. And we will continue to invest in and improve these channels for our customers. With our product set, we have the ability to cross-sell into the EPE account base. This is critically important as it has material impact on our ARPU as we deepen our relationships with our account holders. A year ago, approximately 409,000 EPE account holders also had an EasyPay loan. This has increased to more than 20% to almost 500,000. Account holders that also have an EasyPay insurance policy increased more than 30% compared to last year this time. Account holders that have an EasyPay loan and an EasyPay insurance policy, that is consumer that uses all of our products, went from approximately 148,000 a year ago to more than 212,000 consumers in this quarter, representing a greater than 40% improvement year-on-year. We ended the quarter with 1.5 million active EPE customers, of which approximately 1.3 million or 87% are core permanent grant recipients. This represents a 17% year-on-year growth in our permanent recipient base with a 1% increase in the temporary grant base. As I've discussed on previous calls, Lesaka focuses on 2 growth levers in our consumer division. Firstly, growing our EPE account base, which is a function of improved and more relevant distribution and efficient onboarding and activation processes. A lot of work has gone into our physical branch network and digital channels to improve the customer experience and our internal efficiencies, which is reflecting in our EPE account growth rates mentioned above. Secondly, with our product set, we have the ability to cross-sell into the EPE account base. This is critically important as it has a material impact on our ARPU as we deepen our relationship with our account holder. Our cross-sell initiatives include training of sales staff and improved technology platform, digital and print marketing initiatives, incentivization, and improved customer experience. I'm very pleased with the results we are seeing, which has led to a 15% increase in ARPU to approximately ZAR 90 over the past year despite no increase in EPE account fees and a material increase in EPE account numbers. Our EasyPay loan book increased 28% year-on-year to ZAR 509 million. Gross advances for the quarter of ZAR 416 million were up 30% compared to quarter 3 last year. Our loan loss ratio remained stable at approximately 6% on an annualized basis. The excellent momentum in adoption of our EasyPay insurance product continued in this quarter with active policies increasing to 414,000 at quarter end, a growth of 34% from last year. Our insurance book penetration increased from approximately 25% a year ago to over 30% at the end of Q3, whilst retaining its very high premium collection rate of 96% and a low annual lapse rate of approximately 7% compared to the industry reported annual lapse rate of over 22% per year. I get so excited when I see these results as well as the quality of our books. It is evident that all the planning and hard work of our teams across the country is paying off. Importantly, it is also evidenced that our grant beneficiaries recognized the value of our offerings and that we are making a real difference in their lives. With our rightsized cost base and key operational metrics all improving, the consumer division has become a significant contributor to Lesaka's performance. Our revenues have improved 19% year-on-year. And with our operational leverage, we have increased our segment adjusted EBITDA to ZAR 82 million, up from ZAR 30 million a year ago. I would like to congratulate the team on an excellent result. Taking off my consumer head for a moment as Southern Africa CEO, I'd like to warmly welcome all the employees of Adumo and Paul into the group. We're extremely excited about joining forces with you as we build a leading fintech platform in Southern Africa. We see growth and opportunity in all of our markets and look forward to capturing this as we integrate our businesses. I would like to hand over to Naeem now, who will take you through the income statement and balance sheet in more detail and address the outlook for quarter 3 and the full year result.
Naeem Kola : Thank you, Lincoln. The third quarter of fiscal 2024 was another quarter of year-on-year growth and improvement in our financial performance, reflecting positive operational momentum in both divisions. This was achieved despite a challenging trading environment in South Africa. We also made strategic progress positioning Lesaka as a leading fintech. Ali and Steve spoke about the Touchsides and Adumo acquisitions, which both scale and broaden our product offering. Another key strategic objective is the reduction of the net debt and leverage with an improvement in generating positive cash flow from operating activities and significant growth in the group adjusted EBITDA. A year ago, we were in a cash burn position, but we have moved to a position where our net cash provided by operating activities was ZAR 118 million this quarter compared to net cash used in operating activities of ZAR 92 million last year. As a reminder, Lesaka is a domestic filer in the United States. We report results in U.S. dollars under U.S. GAAP. However, our operational currency is South African rand. And as such, we analyze our performance in South African rand. Turning to our revenue and group adjusted EBITDA for the quarter, we grew revenue at 9% year-on-year from ZAR 2.4 billion to ZAR 2.6 billion, which is marginally lower than our guidance range of ZAR 2.7 billion to ZAR 2.8 billion. As Steve mentioned earlier, this relates to an increase in the percentage of PIN-less or direct top-up airtime and data bundles being sold versus PIN-based or voucher airtime. On PIN-less airtime and data bundles, we act as an agent capacity. Only the commission earned is reported as revenue. For PIN-based airtime, will act as a principal and recognize the total face value as revenue. Our revenue is marginally lower than guidance as PIN-less airtime was higher than PIN-based airtime compared to the assumptions when we set out our guidance last year. Revenue was also slightly impacted by the change in mix with international money transfers reducing due to a change in regulatory environment. Although this impacted the revenue result at the gross profit level, we exceeded forecast, and on a group adjusted EBITDA, we exceeded the upper end of guidance. It is important to note the change in the calculation of group adjusted EBITDA. These expenses, which were previously excluded from the calculation of group adjusted EBITDA, that is below the group adjusted EBITDA line, have now been included in the calculation of the group adjusted EBITDA that is above the line. This change is in response to the comments received from the staff of the SEC in March 2024 regarding our non-GAAP financial reporting. Comparative information has been adjusted to conform for the updated presentation. We reported our Q3 guidance last quarter for group adjusted EBITDA range at ZAR 170 million to ZAR 190 million. This would have been ZAR 155 million to ZAR 175 million if we included the lease expenses in the calculation of group adjusted EBITDA. On this basis, group adjusted EBITDA of $183 million for the quarter exceeded the upper end of guidance. It was strongly up year-on-year, increasing 47% compared to $125 million in Q3 2023. From a balance sheet perspective, leverage ratios improved as we focus on reducing debt and growing group adjusted EBITDA. I am pleased to report that we continue to see improvement in our net debt-to-group adjusted EBITDA ratio, which reduced to 2.6x at quarter end compared to 2.9x at the end of quarter 2 2024 and 4.2x a year ago. Looking at consolidated income statement for the quarter, we grew revenue by 9% to ZAR 2.61 billion compared to Q3 2023. In U.S. dollars, consolidated revenue was $138 million for the quarter, up 3% compared to $135 million in Q3 2023, negatively impacted by the 5% depreciation of the rand against the dollar over the period. Operating income increased to ZAR 15 million compared to an operating loss of ZAR 33 million a year ago. Operating income for Q3 2024 includes ZAR 12 million or $0.6 million once-off transaction costs related to the acquisition of Adumo. Depreciation and amortization of ZAR 109 million includes ZAR 67 million related to amortization of acquired intangibles from the Connect Group acquisition. Acquired asset amortization is both a non-operational and a non-cash charge. Our net interest expense decreased 8% to ZAR 75 million in Q3 2024 from ZAR 81 million in Q2 2024 through further cash optimization measures across the group. The benchmark interest rate in South Africa remained unchanged over this period. Similarly, Q3 2024 versus Q3 2023 decreased 8% to further cash optimization measures despite the increase in the benchmark interest rate in South Africa in Q3 2024 compared to Q3 2023. Net income before tax, but excluding the non-operational and noncash PPA charge, improved year-on-year to ZAR 8 million compared to a loss of ZAR 53 million in Q3 2023. Net loss before tax narrowed to ZAR 60 million for Q3 2024 compared to a net loss of ZAR 120 million a year ago, a 50% year-on-year improvement, which would have been greater but for the ZAR 12 million once-off transaction costs related to the acquisition of Adumo. Net loss before tax in Q2 2024 included ZAR 18 million, $1 million noncash gain related to the release of foreign currency translation reserve upon liquidation of a dormant subsidiary. Excluding the impact of these one-off costs, net loss improved 8% in Q3 2024 compared to Q2 2024. Net income before taxes, adding back the ZAR 67 million related to amortization of acquired intangibles for the quarter and ZAR 12 million of one-off cost, is ZAR 20 million compared to a loss of ZAR 53 million in Q3 2023. At a divisional level, Merchant delivered an 8% revenue increase year-on-year. Quarter-on-quarter revenue reduced 5% due to seasonality, with quarter 2 benefiting from the higher volumes over the main holiday and festive season. In the Consumer division, revenues grew 19% year-on-year and 8% quarter-on-quarter. We saw good momentum in the EPE account activations in the last 2 quarters, which, coupled with effective loan and insurance cross-selling initiatives, has led to a very encouraging result. Year-on-year, the Merchant division reported a segment adjusted EBITDA of ZAR 159 million compared to ZAR 149 million in Q3 2023. Excluding the impact of NUETS and Kazang Pay Advance, which together contributed ZAR 12 million in the prior year versus ZAR 1 million this year, year-on-year merchant adjusted EBITDA growth was 16%. The Consumer division delivered a segment adjusted EBITDA of ZAR 82 million for Q3 2024 compared to ZAR 30 million for Q3 2023, equating to a 178% increase benefiting from strong revenue growth and cost saving initiatives implemented in FY 2023. Quarter-on-quarter, the Consumer division grew segment adjusted EBITDA by 49%. Strategic initiatives to grow the Consumer division and deepen our relationship with consumers through cross-selling are yielding positive results. Group cost of ZAR 42 million were flat compared to Q3 2023. We experienced continued improvement in our financial performance in the third quarter of 2024 with profitability improving 9% quarter-on-quarter and 47% year-on-year. Sequential quarter-on-quarter growth at the group level was achieved despite the seasonal trends that led to a stronger quarter 2 in both divisions due to the higher-than-average transaction volumes in December. Fundamental earnings per share, which excludes nonoperating items, continued its strong growth momentum in Q3, improving 73% quarter-on-quarter to $0.45 and up over 100% from a loss of $0.35 a year ago. In management's view, this is the appropriate earnings per share measure given the adjustment for one-off items, nonrepeatable items, PPA amortization and other noncash items. As an indication of the transformation of Lesaka on a year-to-date basis, fundamental earnings per share is at ZAR 0.64 compared to a loss of ZAR 1.87 last year this time, a swing of ZAR 2.51 per share. From a cash flow perspective, we saw continued momentum, achieving positive net cash provided by operating activities. We reported ZAR 362 million in net cash provided by operating activities. However, this includes ZAR 244 million related to Kazang Pay, which is unusually high given Q3 ended on an Easter Sunday, so included 3 days of unsettled trading. Excluding the impact thereof, the net cash provided by operating activities of ZAR 118 million for the quarter compared to ZAR 75 million in quarter 2 and a net cash used in operating activities of ZAR 92 million a year ago. On a year-to-date basis, cash provided by operating activities is ZAR 190 million for the past 3 quarters compared to ZAR 163 million net cash used in operating activities in the first 3 quarters of last year. I'm extremely proud of our team's hard work in the transformational turnaround from a cash burn 12 months ago to a positive cash quarter after quarter today. We generated ZAR 175 million operating cash flow before interest paid, tax paid, working capital-related items and the movement in loan book funding. We define this as the cash generated from business operations and consider it an appropriate indicator of our conversion of EBITDA to cash. This is an increase of 24% compared to ZAR 141 million generated in Q3 2023. The ZAR 70 million movement in the loan book funding relates primarily to the net growth in the Capital Connect business over the quarter. As discussed earlier, our working capital was impacted by the quarter end falling on Easter Sunday. Excluding the impact thereof, net cash generated in working capital before interest activities was ZAR 62 million for the quarter compared to ZAR 30 million in net cash utilized last quarter. As mentioned, we are pleased with the cash generation of our business and the progress we have made in this regard. Our actual cash on hand at quarter end was ZAR 1 billion. However, adjusted for the ZAR 244 million related to working capital settlement on Kazang Pay, net cash was ZAR 798 million. Our net debt-to-EBITDA ratio is calculated as a net debt at the specific date divided by the annualized group adjusted EBITDA for the quarter. For Q3 2024, this improved to 2.6x compared to 4.2x a year ago and 2.9x at the end of quarter 2, another very pleasing improvement. Capital expenditure for the quarter amounted to ZAR 56 million with ZAR 46 million relating to growth CapEx, primarily in the Merchant division relating to Kazang devices and cash vaults, both of which deliver strong IRRs. We are very encouraged by the overall performance this quarter as we are seeing the full potential of Consumer division benefiting from the revenue growth and margin expansion from expense reductions that we did in FY '23. In the Merchant division continuing its growth of key KPI metrics, we have an exciting journey ahead of us, building on this platform and accelerating our growth through the opportunities from Touchsides and Adumo. For the full financial year 2024, we reaffirm our revenue guidance of between ZAR 10.7 billion and ZAR 11.7 billion. However, due to the mix of PIN and PIN-less data and airtime sales differing from our forecast and the resulting impact of the revenue due to the accounting treatment of each, we anticipate coming in at the lower end of the guidance range. This only impacts the revenue recognition of data and airtime sales, not profitability thereof. Turning to group adjusted EBITDA guidance. For FY '24, we are raising our group adjusted EBITDA guidance. Previously, we excluded lease expenses from the calculation of group adjusted EBITDA and we guided that our group adjusted EBITDA, excluding the impact of lease expenses for FY '24, would be between ZAR 680 million to ZAR 740 million. On the same basis, that is excluding the impact of lease expenses, our group adjusted EBITDA is now expected to be higher at between ZAR 740 million to ZAR 760 million. As mentioned, we received a comment from the SEC during Q3 regarding our non-GAAP reporting, specifically relating to group adjusted EBITDA. It is important to note comparative information for our group adjusted EBITDA has been adjusted to conform for the updated presentation. And going forward, group adjusted EBITDA and the guidance thereof will include the impact of lease expenses. On this basis, group adjusted EBITDA, including lease expenses, we expect it to be between ZAR 685 million to ZAR 705 million for FY '24 compared to ZAR 446 million for FY '23. This represents more than a 50% growth year-on-year. This guidance excludes the impact of the anticipated completion of Adumo transaction. We will provide our guidance for FY '25 in September when we report our results for the year ended 30 June 2024. Thank you for attending our Q3 results presentation. We'll now address any questions you may have for the team.
Operator: [Operator Instructions] And now we're going to take our first question from Frank Geng of Briarwood.
Frank Geng: Congrats on the quarter, everyone, and on the Adumo transaction. Just wanted to quickly ask on the Adumo deal. Any indications on the valuation of the deal? Anything on sort of the historical growth rates on the asset in the past? And indication of when the deal might be done and sort of the process from here?
Ali Mazanderani : So the purchase consideration implies an EV to EBITDA multiple of approximately 9x. And then on the core Adumo business, has a stand-alone growth profile of circa 20% normalized year-on-year EBITDA growth in rand terms. In terms of process, the transaction is subject to shareholder approval, and there is a process that needs to be gone through in that respect. We've commenced the process to prepare for the shareholder meeting, and it's expected to culminate in a meeting in August with proxy materials expected to be circulated in late June. And those materials will contain substantially more details regarding Adumo's business and will include its historical financial statements and the required unaudited pro forma statements.
Operator: Our next question comes from Raj Sharma of B. Riley Securities.
Rajiv Sharma : So I'd like to ask a few questions on the Adumo deal. Firstly, just what is the -- what was and what is the strategic rationale for doing the deal?
Ali Mazanderani : So I mean, I think, Raj, the presentation sort of outlined aspects of that. I think there is clearly benefits associated with the augmentation of the talent pool, benefits associated with the scale, benefits associated with reinforcing our position also in neighboring geographies. But the core benefit is that the business has augmentative qualities in both the consumer and the merchant divisions. And what I would like to do is probably ask Lincoln in that respect to talk on the consumer side and Steve on the merchant side.
Lincoln Mali : Thanks so much, Ali. Right. If you think about our consumer business, we have been laser focused on the consumer grant space where we've got more than 1.5 million active customers. We've been asked a number of times as to when will we start to think of a broader market outside the grant space. What this does is to start to give us an eye into that base. With Adumo Payouts -- they've got about 245,000 active customers that they've got through our Adumo Payouts. We can start to now see that as where we can start to put credit in insurance, whereas in other solutions, into that base. So it starts to move our customer base from the 1.5 million active customers that we have to now 1.7 million customers and start to give us the opportunities to go beyond the social grant space while we still have the engine of the EPE base and our core focus, but it starts to give us an opportunity to broaden our business beyond that. Steve?
Steven Heilbron : From a merchant perspective, and I think Ali touched that the exciting thing from a former merchant perspective is it gives us much deeper penetration in terms of that particular segment. And it takes us now to servicing in the formal segment north of 290-odd-thousand merchants. It significantly bolsters our card acquiring capability in the formal merchant space as well as taking us into the software point-of-sales business. I think further to that, the opportunity for us to take our cash, our VASs and our credit offering across the channel is further broadened and it enhances our unit economics, both in terms of our cost of client acquisition as well as our lifetime value from a customer perspective. So as you've understood from a merchant perspective, historically, we've had significant growth in our micro merchant space. But in our former merchant space, this gives us, again, real strength in the card and software space which when added to our cash and credit gives us a bundled offering, which we think will allow us to be a lot more competitive as we take our offering to this niche.
Rajiv Sharma : I have a couple of questions, if I can, for Naeem. Are you assuming any debt with the transaction? Can you talk about the terms on the debt, and would you look to refinance it? And then also I have a question on you funding the cash portion of proceeds via internal financing. Can you elaborate on that, please?
Naeem Kola : Raj, yes. So look, I think to answer the question, I'll answer the second part first. In terms of the cash funding internally, we are in the process of selling down our position as you're aware on the [indiscernible] stock that we hold. And we're fairly confident that we'd be able to use that to fund a cash portion of the proceeds that we need to do. In terms of the debt, the debt position on Adumo is quite low. And we have facilities in place under our current structure to be able to fund a further portion to settle some of the funding requirements that we need. So we're not seeing or expecting any increase in cost of funding. We are seeing this to be beneficial to us from an overall leverage ratio as well.
Rajiv Sharma : And then just last question. Would Adumo's EBITDA profitability compare more to the merchant or to consumer in terms of the margins?
Naeem Kola : It's definitely more aligned towards the merchant side of the business. Most of their products are very similar to our merchant side of the business, Raj.
Rajiv Sharma : And would you also have the airtime fees in the principal agency issue with Adumo?
Naeem Kola : We see that as an opportunity because currently, the Adumo business does not do any VAS services through their channels. That definitely will be one of our cross-sell opportunities that we would add on to their platform. So that would be an opportunity for us. And I think if the question is that are we going to have this PIN versus PIN-less, it is something that we would need to forecast a lot more accurately.
Operator: Our next question comes from Sven Thorson, Banker. He submitted; consumer has seen remarkable growth in full year '24 with margins widening significantly. Loan insurance penetration rates are up considerably. How much scope is there to increase these penetration rates?
Lincoln Mali : I think there are opportunities. We have got our staff well trained. I think they are engaging with our customers. We can penetrate more into our base. And I think that when you start to see how ARPU has grown, it means that there is more opportunity to penetrate in that base and more of an opportunity for us to have more cross-sell opportunities. So we do see still much more scope. You see, what, 30% on the insurance side. So there is space to do much more in there, and we are focused on that a lot. And I think we've shared for the first time where the EPE plus loan plus insurance looks like now, and you can see the scope for that to grow in the short and medium term.
Operator: And our final question today comes from Theo O'Neill of Hill's Research.
Theo O’Neill : Okay. Questions for Lincoln here. You mentioned cross-selling a couple of times on the call. And I was wondering did you see anything surprising in the cross-selling success? And what do you see as critical for continuing success in cross-selling?
Lincoln Mali : No, we're not surprised. It's part of our stated aims. We said up front that we will grow our EPE base and we'd cross-sell into that base. And what we've been doing from a marketing point of view has created the need and the momentum. Secondly, we've invested in digital channel capabilities that enable people now to get a loan through our USSD channel, which we've seen grow and be able to do that through the call center. And thirdly, we've created capacity for lead generation. So that also is helping us. And then lastly and most importantly, training our staff, and now suddenly the customers are giving each other feedback about the benefits that they're getting from Lesaka so that it's not only what you get from a transaction point of view, we can be able now to give you a loan, we can give you an insurance, and we have now added value added services in working with our colleagues at Kazang. So we want to broaden our solution set. And so we see more opportunities going forward.
Theo O’Neill : And you -- in the prepared remarks, you identified inflation hitting certain expenses. I was wondering if you could give us some more detail on your thoughts there, what you're seeing.
Steven Heilbron : Sorry, the context of our comment on inflation was really just the impact it has on the retail merchant, and it refers specifically to the formal market where we've seen those merchants have been through a process of COVID. We had the period of disruption in South Africa a year ago and then a dampening in consumer demand. So that was the context of that comment. I hope that answers your question. Yes.
Theo O’Neill : Yes, it does.
Operator: Well, thank you, gentlemen. That concludes the Q&A session. There are no more questions in queue. This concludes the call. So we thank everybody for participating and look forward to our next quarterly update.